Operator: Greetings. Welcome to the Horizon Technology Finance Corporation Fourth Quarter 2025 Conference Call. At this time, all participants will be in listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, note this conference is being recorded. I will now turn the conference over to Megan N. Bacon, Director of Investor Relations and Marketing. Megan, you may begin. Thank you, and welcome to Horizon Technology Finance Corporation's Fourth Quarter 2025 Conference Call. Representing the company today are Michael P. Balkin, Chief Executive Officer, Paul Seitz, Chief Investment Officer, and Daniel Raffaele Trolio, Chief Financial Officer.
Megan N. Bacon: I would like to point out that the Q4 earnings press release and Form 10-Ks are available on the company's website at horizontechfinance.com. Before we begin our formal remarks, I need to remind everyone that during this conference call, the company will make certain forward-looking statements, including statements with regard to the future performance of the company. Words such as believes, expects, anticipates, intends, or similar expressions are used to identify forward-looking statements. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. Certain factors could cause actual results to differ on a material basis from those projected in these forward-looking statements, and some of these factors are detailed in the risk factor discussion in the company's filings with the Securities and Exchange Commission, including the company's Form 10-K for the year ended 12/31/2025. The company undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. At this time, I would like to turn the call over to Horizon Technology Finance Corporation's CEO, Michael P. Balkin.
Michael P. Balkin: Welcome everyone, and thank you for your interest in Horizon Technology Finance Corporation. Today, we will update you on our quarterly performance and the current operating environment. Paul Seitz, our Chief Investment Officer, will take us through recent business and portfolio developments as well as the current status of the venture lending market, and Daniel Raffaele Trolio, our Chief Financial Officer, will detail our operating performance and financial condition. We will then take questions. 2025 was a year of transformation for Horizon Technology Finance Corporation in many respects. While we navigated a number of micro and macro challenges throughout the year, we believe we have been able to successfully lay the groundwork for Horizon Technology Finance Corporation to succeed over the longer term. While the government shutdown in the fourth quarter led to our merger with MRCC being delayed into 2026, we are excited to be holding our special meeting shortly and hopefully closing the merger in the weeks ahead. As a reminder, closing the merger will significantly increase Horizon Technology Finance Corporation's capital available for investment in earning assets and allow it to take advantage of greater economies of scale in the combined vehicle. Additionally, Monroe Capital, which is the parent company of Horizon Technology Finance Management, will be continuing to provide ongoing support to the post-merger company. As a result, we expect you will see an even more coordinated and synergistic effort between Monroe and Horizon Technology Finance Corporation in 2026, which is already evidenced by Horizon Technology Finance Corporation's first quarter co-investment with Monroe in a venture loan to Osseo. With Horizon Technology Finance Corporation's larger capital base and Monroe's ability to co-invest, we expect to originate larger venture loans to cutting-edge early and later-stage venture capital and institutional-backed companies as well as small-cap public companies. The merger, working with Monroe and increasing our ability to fund larger transactions, will allow us to bring the Horizon Technology Finance Corporation platform to the next level. I could not be more excited for Horizon Technology Finance Corporation's future. Turning to our specific results for the quarter, we generated net investment income of $0.18 per share, while our NAV per share ended the year at $6.98. Based on our outlook, our undistributed spillover income, and the anticipated completion of our merger with MRCC, our Board declared regular monthly distributions of $0.06 per share payable in April, May, and June 2026. As we grow our portfolio in future quarters, it remains our goal to deliver NII at or above our declared distributions over time. We achieved a portfolio yield on debt investments of over 14% for the fourth quarter and nearly 16% for the full year 2025, once again at or near the top of the BDC industry. We redeemed our notes due in 2026 with the proceeds of our issuance of 7% notes due 2028. We finished the year with a committed and approved backlog of $154,000,000, and our portfolio returned to growth in the fourth quarter. And finally, we are closing attractive venture debt investments while our pipeline of venture debt opportunities continues to grow. As we begin 2026, we remain excited for our long-term future growth given our numerous strengths including our portfolio yield remains among the industry's highest, which we expect will lead to increased NII over time. Our liquidity and balance sheet are strong, and will further strengthen post-merger. We maintain a strong committed backlog, a robust pipeline, and with the backing of Monroe Capital, we are able to compete for larger, higher quality opportunities to make debt investments to growing companies, which will grow our loan portfolio. And finally, the demand for venture debt capital remains high, and we expect to be a key supplier of such capital in the coming year and beyond. Again, we appreciate your continued interest and support in the Horizon Technology Finance Corporation platform. I will now turn the call over to our Chief Investment Officer, Paul Seitz, to give you the details of our fourth quarter results and progress. Paul?
Paul Seitz: Thanks, Mike, and good morning to everyone. As Mike noted, we are preparing for next week's special meeting which, if shareholders approve the proposal to issue more shares, will allow us to close the merger with MRCC. If approved and closed, Horizon Technology Finance Corporation will have the size and scale to originate larger venture loans to growing public and private small companies. It will enable us to grow our portfolio and NII over time. We remain very excited to do so. At the end of the year, our current portfolio stood at $647,000,000 as we returned to growth. In the fourth quarter, we funded nine debt investments totaling $103,000,000, including two refinancings of our existing investments. We also continue to make progress in building our pipeline, including larger venture loan opportunities in our target sectors. Two of our pipeline opportunities, HealthOS and Osseo, have already closed in 2026. In Q4, we increased our committed backlog by $35,000,000 from the end of Q3, which positions us well to further grow our portfolio in the quarters ahead. In Q1, we expect to further grow our portfolio driven by our current pipeline. Along with the venture loans which have already closed since the end of the year, we have been awarded two new venture loan transactions representing $82,500,000 in total commitments. It goes without saying that we will always be disciplined in originating and underwriting new loans. During the fourth quarter, we experienced one loan prepayment and two refinancings totaling $43,000,000 in prepaid principal and collected approximately $1,000,000 in warrant proceeds. Our onboarding debt investment yield of 12% during the fourth quarter remained consistent with our historic levels. We expect to continue to generate strong onboarding yields with our current pipeline of opportunities, which we believe will generate strong net investment income over time. Our debt portfolio yield of 14.3% for the quarter was once again among the highest-yielding debt portfolios in the BDC industry, despite the lower level of prepayments in the quarter. Our ability to generate industry-leading yields continues to be a testament to our venture lending strategy and our execution of such strategy across various market cycles and interest rate environments. As of December 31, we held warrants, equity, and other investments in 97 portfolio companies with a fair value of $51,000,000. Structuring investments with warrants and equity rights is a key component of our venture debt strategy and a potential generator of shareholder value. As mentioned, we ended the year with a committed and approved backlog of $154,000,000 compared to $119,000,000 at the end of the third quarter. We believe our pipeline of investment opportunities combined with our committed backlog, most of our funding commitments subject to companies achieving certain key milestones, provides a solid base to prudently grow our portfolio over time. As of year end, 87% of the fair value of our debt portfolio consisted of three- and four-rated debt investments, while 13% of the fair value of our portfolio was rated two or one, consistent with our levels at the end of the third quarter. We continue to collaborate with all of our portfolio companies in utilizing a variety of strategies to optimize returns and create future value. Turning to the venture capital environment, according to PitchBook, approximately $92,000,000,000 was invested in VC-backed companies in the fourth quarter, driven again in significant part by continued large investments in AI. At $339,000,000,000 of investment, 2025 was the largest year of investment since the record year of 2021, and a positive sign that investment activity has sufficiently recovered from 2023 and 2024. Exit markets remained open, though slow, in the fourth quarter with approximately $100,000,000,000 of exit value driven primarily by tech IPOs. While the M&A market appears to be healthy and the IPO market is open, given the performance of many second half 2025 IPOs, investors and bankers may be more circumspect in bringing companies public in 2026. The life science IPO market remains limited, creating more opportunities for venture loan originations, as evidenced by our loans to Peltos and Osseo. In terms of tech, there remains considerable optimism. We continue to be doing deep due diligence, particularly in AI and defense technology, to determine the best types of opportunities for future investments. We want to take a moment to make a few comments about AI. First, note Monroe Capital published a white paper on AI on February 6, which we believe summarizes our current view on AI and the tech sector. It is obvious to us that AI is changing the game, and AI-related risk has been a central focus in our underwriting process. We believe the claim that the days of enterprise software are over is inflating the risk, and at the same time, those who claim it is business as usual are underestimating the risk. Given Horizon Technology Finance Corporation and Monroe's track record in software investing, we are confident we can navigate this changing environment. As we progress through 2026, we believe venture debt remains a compelling option for companies to access capital with lower dilution to their investors as companies continue to grow and prepare for exits. This compelling option provides significant opportunities for Horizon Technology Finance Corporation to seek high-quality, well-sponsored tech and life science companies to add to its portfolio. To sum up, while 2025 was a challenging year, we have made significant strides to succeed in both 2026 and for the long term. If and when we close the merger, we will have an even greater capacity to target larger venture loans for both private and small-cap public companies. Additionally, we will continue to work diligently on optimizing outcomes with respect to our current portfolio. We are confident that we are on the right path to expand our portfolio over the longer term and remain a leader in the venture lending space. We expect this will lead to increased NII over time and ultimately additional value for shareholders. With that, I will now turn the call over to our Chief Financial Officer, Daniel Raffaele Trolio.
Daniel Raffaele Trolio: Thanks, Paul. Good morning, everyone. There were a significant number of positive developments in 2025 for Horizon Technology Finance Corporation, namely our impending merger with Monroe Capital Corporation and our continued ability to strengthen our balance sheet despite the challenging environment. Our actions demonstrate our continued ability to opportunistically access the debt and equity markets. In addition, we continue to diligently work with all of our portfolio companies to optimize outcomes for our investments and improve our credit quality. As such, we believe we remain well positioned to grow our portfolio in the coming quarters and create additional value for our shareholders moving forward. To recap 2025, we further strengthened our capacity in May by increasing the commitment under our senior secured credit facility with Nuveen to $200,000,000. In September, we raised $40,000,000 of debt capital through the issuance of our 5.5% convertible notes due 2030 and used the proceeds to retire our Horizon Funding Trust asset-backed notes which had an interest rate of just over 7.5%. In December, we raised $57,500,000 of debt capital through the issuance of our 7% unsecured notes due 2028, and used the proceeds in January 2026 to redeem our 2026 public notes. Finally, we successfully and accretively raised over $14,000,000 through our ATM program during the year, further demonstrating our continued ability to opportunistically access the equity markets. As of December 31, we had $189,000,000 in available liquidity consisting of $143,000,000 in cash and $46,000,000 in funds available to be drawn under our existing credit facilities. We currently have no borrowings outstanding under our $150,000,000 KeyBank credit facility, $181,000,000 outstanding on our $250,000,000 New York Life credit facility, and $90,000,000 outstanding on our $200,000,000 Nuveen credit facility, leaving us with ample capacity to grow our portfolio of debt investments. Our debt-to-equity ratio stood at 1.5 to 1 as of December 31, and netting out cash on our balance sheet, our net leverage was 1.05 to 1, below our target leverage. Based on our cash position and our borrowing capacity on our credit facilities, our potential new investment capacity as of December 31 was $472,000,000. Turning to our operating results, for the fourth quarter, we earned investment income of $21,000,000 compared to $24,000,000 in the prior-year period, primarily due to lower interest income on our debt investment portfolio. Our debt investment portfolio on a net cost basis stood at $602,000,000 as of December 31, up 3% compared to $585,000,000 as of 09/30/2025. For 2025, we achieved onboarding yields of 12% compared to 12.2% achieved in 2024. Our loan portfolio yield was 14.3% for the fourth quarter compared to 14.9% for last year's fourth quarter. Total expenses for the quarter were $12,500,000 compared to $12,800,000 in 2024. Our interest expense of $8,000,000 was $200,000 lower than last year's fourth quarter, while our base management fee was $2,900,000, $200,000 lower than the prior-year period, due to our smaller portfolio. We received no performance-based incentive fees in the fourth quarter as we continue to defer incentive fees otherwise earned by our advisor under our incentive fee cap deferral mechanism. While we expect that the adviser will return to earning incentive fees, as a reminder, our adviser has agreed to waive up to $4,000,000 of fees, or $1,000,000 a quarter, if the merger is completed. Net investment income for the fourth quarter of 2025 was $0.18 per share, compared to $0.32 per share in 2024 and $0.27 per share for 2023. Prepayment activity and the income that is typically associated with prepayments was lower than our historical experience. We continue to expect prepayment activity will remain modest in the near term. For the full year 2025, we generated NII of $1.50 per share. The company's undistributed spillover income as of December 31 was $0.65 per share. Based upon our outlook, undistributed spillover income, and the anticipated completion of our merger with MRCC, our Board declared monthly distributions of $0.06 per share for April, May, and June 2026. We anticipate that the size of our portfolio, our expectations for growth, and our predictive pricing strategy will enable us to generate NII that covers our distribution over time. To summarize our portfolio activities for the fourth quarter, new originations totaled $103,000,000, which were offset by $13,000,000 in scheduled principal payments and $50,000,000 in principal prepayments, refinancings, and partial paydowns. We ended the year with a total investment portfolio of $647,000,000. At December 31, the portfolio consisted of debt in 38 companies with an aggregate fair value of $596,000,000 and a portfolio of warrant, equity, and other investments in 97 companies with an aggregate fair value of $51,000,000. Our NAV as of December 31 was $6.98 per share compared to $7.12 as of 09/30/2025, and $8.43 as of 12/31/2024. The $0.14 reduction in NAV on a quarterly basis was primarily due to our paid distributions exceeding our NII. As we have consistently noted, nearly 100% of the outstanding principal amount of our debt investments bear interest at floating rates. Of those investments, approximately 71% are already at their interest rate floors, which should mitigate the impact of decreasing interest rates. This concludes our opening remarks. We will be happy to take questions you may have at this time.
Operator: Thank you. We will now be conducting a question and answer session. If you would like to ask a question at this time, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. For participants who are using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Our first question is from the line of Michael Brown with UBS. Please proceed with your questions.
Cory Johnson: Hi. This is Cory Johnson on for Mike. I was just wondering, can you maybe go into a little bit more about how you decided on the new dividend level, you know, kind of what was the decision-making around that?
Daniel Raffaele Trolio: Yeah. Good morning, Cory. As we say every quarter, we review our distribution level with the Board. We look at the current portfolio and the run rate. We look at the spillover. We look at our pipeline and our growth opportunities and determine based on that a level that we think is sustainable and one we can cover over time.
Cory Johnson: Great. And then also just a quick follow-up. If I heard this correctly, did you say the percent at contractual floor is 71%? Was that?
Daniel Raffaele Trolio: That is correct. Yep.
Cory Johnson: Okay. Alright. Thank you.
Operator: As a reminder, to ask a question, you may press 1 on your telephone keypad. At this time, the next question is from the line of Paul Johnson with KBW. Please proceed with your questions.
Paul Johnson: Yes. Good morning. Thank you for taking my questions. I was just wondering if you could just kind of help me understand here a little bit more just the earnings slide here, quarter over quarter. Because, you know, the portfolio yield of 14% with a, you know, roughly 10% ROE just something does not really fit there, and I am just wondering, you know, aside, I guess, the lower prepayment income, I mean, what kind of drove, I guess, the lower interest income? I guess, was that the driver during the quarter? Because you are not earning incentive fees. You know, there was net portfolio growth in the quarter. You know, the portfolio was roughly flat in terms of loss, so it does not seem like there was much depreciation in there. I was just wondering if we can just kind of understand maybe the earnings bridge a little bit and if maybe we could expect that this is maybe somewhat of a trough, and we could potentially see a little bit more.
Daniel Raffaele Trolio: Yeah. So, Paul, all those things you stated were correct. You know, quarter over quarter, we grew the portfolio. You are right, the net realized and unrealized for the quarter was flat. And so there is, you know, positive movement in the quarter. Most of the fundings were towards the end of the quarter, so that had some impact. And, really, the major impact when you are looking quarter over quarter was the prepayment and the activity that occurred each quarter. We had some significant prepayments and refinancing on a couple of names in Q3. And then in Q4, we really had one prepayment, a couple of opportunistic refinancings that we did with our own portfolio companies. That had a lower income level than we typically receive on prepayments. And so when you add up the timing and the lower prepayment rates and the income related to that, that kind of connects the difference between the NII.
Paul Johnson: Okay. Got it. So if I am just thinking about the $102,000,000 of origination this quarter, that includes a number of refinancing within the portfolio where, I guess, the return is structurally lower somehow.
Daniel Raffaele Trolio: So, yes. It included a couple refinancings. They are positive in the event where we accelerate fee income on the previously outstanding debt investments, and we are able to rewrite with a full, new, fully loaded fee new debt investment. It is just lower income related to a prepayment where we will receive a prepayment fee, but with refinancing, that is one of the fees that we do not get.
Paul Johnson: Okay. Got it. Thank you for that. And then my other question was just on the opportunity for public company financing. Are those opportunities where you are refinancing or taking out existing debt or is it more of an opportunity where you are providing new capital to those companies?
Paul Seitz: Yeah. Hey, Paul. Thanks for the question. It can be a combination of all of the above. But I think the opportunities we are seeing in the market, and there are a significant number, is that many of these companies do not even realize there is an opportunity to use debt capital like ours where they cannot go to a bank because maybe they are not profitable today, or what have you. So in many cases, they will issue equity which is much more dilutive. So what we are offering out to these companies is a more flexible capital structure that is less dilutive and gives the company an opportunity to have some growth capital here. So we believe this is a very fertile market for us. And again, the opportunity set is fairly wide.
Paul Johnson: Okay. That is great. Thank you very much. That is all for me.
Paul Seitz: You bet.
Operator: Our next question is from the line of Sean Paul Adams with B. Riley.
Sean Paul Adams: Hey, guys. Good morning. It looks like you guys had an aggregate decline in nonaccruals quarter over quarter. Can you just provide a little bit more color on the status of those three remaining portfolio companies on nonaccrual?
Daniel Raffaele Trolio: Yeah. You know, what we say each quarter, we are working each one of those nonaccruals and they are all at various levels. We are trying to maximize the recoveries with each one of them. And as you pointed out, we were able to improve the percentage of nonaccruals quarter over quarter. Besides that, we cannot really get into too much detail, as these are private companies.
Sean Paul Adams: Got it. Appreciate it. Well, on the actual from the four to the three, can you provide a little bit more detail on that one that came off?
Daniel Raffaele Trolio: Again, it is a private company, where we cannot, you know, besides giving names. It was just a deal that we were working on, an acquisition last quarter that was completed this quarter, and we received the amount of our fair value. And so there is no NAV impact.
Sean Paul Adams: Got it. Appreciate it.
Operator: Thank you. The next question is from the line of Christopher Nolan with Ladenburg Thalmann. Please proceed with your questions.
Christopher Nolan: Hi. What was the driver of the realized loss, and was that from Metallic Therapeutics?
Daniel Raffaele Trolio: TALIC was a percentage of that, but TALIC was a small position. And, again, the realized losses were realized this quarter at the fair value that we had them going into the quarter. As you can see, Q4 net realized and unrealized was slightly positive.
Christopher Nolan: No. Totally understand that. I am just trying to understand what was the driver of the realized loss.
Daniel Raffaele Trolio: Yeah. No. TALIC was a small piece of that, and we usually do not give, you know, detail on these private companies and how we have worked out each one of them.
Christopher Nolan: Okay. In the earnings release, it highlighted in subsequent events you guys are redeeming some of your 04/2026 notes. How much of that has been redeemed, please?
Daniel Raffaele Trolio: The full amount was redeemed in January.
Christopher Nolan: Great. And then I guess on the new dividend, am I correct that when the deal was announced, management is indicating that they are going to try to support a $0.33 dividend through 2026, or am I mistaken there?
Daniel Raffaele Trolio: So support it in which way? We have agreed to have the adviser waive $4,000,000 of fees for the four quarters following the close, at $1,000,000 a quarter. Outside of that, then we have the repurchase program that we have in place that will support the shares.
Christopher Nolan: Great. Final question. Should we look at the new dividend as a reasonable earnings run rate for the company? And does that assume elevated nonaccruals?
Daniel Raffaele Trolio: So, as we say, you know, we review the distribution level with our Board. We set it at a level that we believe we are going to cover over time. And so, that is what we did.
Operator: Next question is a follow-up from the line of Paul Johnson of KBW. Please proceed with your question.
Paul Johnson: Can I just clarify, so on the convertible conversion this quarter, what was the conversion rate there? And I guess, is there any kind of dilutive impact in the first quarter from that?
Daniel Raffaele Trolio: The conversions for the converts that we have done are all at NAV. They are required to be converted at NAV. And so in the fourth quarter, the $8.5 million that has been converted, and anytime it does convert, it will be at the stated NAV at that time. There is no dilution.
Paul Johnson: Okay. Got it. Thank you very much.
Operator: Thank you. At this time, we have reached the end of our question and answer session. I will hand the floor back to Mike for closing remarks.
Michael P. Balkin: Thank you all for joining us this morning. We appreciate your continued interest and support in Horizon Technology Finance Corporation, and we look forward to speaking with you again soon. This will conclude our call.
Operator: Ladies and gentlemen, thank you for your participation. You may now disconnect your lines at this time, and have a wonderful day.